Operator: Good day and welcome to the Nisun International Investor Call. Today's conference is being recorded. At this time, I would like to turn the conference over to [indiscernible], Investor Relations Director. Please go ahead.
Unidentified Company Representative: Thank you operator and a good day everyone. Welcome to Nisun International's full year 2024 financial results conference call. Joining us today are Mr. Liu Xin, Chief Executive Officer; and Ms. Liang Changjuan, Chief Financial Officer of the Company. We are excited to discuss our performance for 2024 and our outlook for the future. Before we begin, I would like to remind everyone that today's discussion may contains forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934 as amended. These statements are subject to risk, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied. For a detailed discussion of these risks, please refer to our filings with the Securities and Exchange Commission including our annual report on Form 20-F. Nisun International does not undertake any obligation to update forward-looking statements except as required by law. On behalf of the Company's management, I'm delighted to provide an operating and financial summary of the company for 2024. At Nisun International, we are proud to be a leading technology-driven integrated financial solution and supply chain solution provider aiming to transform the corporate financing landscape for small and medium sized enterprises called SMEs in China. Our mission is to empower business with innovative financing and supply chain solutions leveraging our expertise in technologies, industry integration and financial services to drive growth and efficiency. 2024 was a year of resilience and strategic focus for Nisun International. According to the National Bureau of Statistics of China, China's economy experienced a deceleration in economic growth during the second and the third quarter of 2024. Despite navigating a challenging economic environment in China marked by cautious investor sentiment and supply chain commodity market volatility, we maintained strong financial foundations and continued to invest in our long-term growth initiatives. Our robust cash position, technology driven solutions and expanding customer base while positions us exceptionally well for a rebound in market conditions. We will now walk through our financial results for 2024. In 2024, Nisun International reported total revenue of $340.2 million, a 12% decrease from $386.7 million in 2023. This decline was primarily driven by reduced activities in our SME financing solutions and supply chain trading businesses, reflecting a broad economic slowdown and market volatility in China. Despite these challenges, we achieved a net income attributable to shareholders of $5.8 million, or $1.3 per share, compared to $17.6 million, or $4.46 per share. In 2024, our ability to remain profitable in a tough environment underscores the resilience of our business model. Cost of revenue for 2024 was $309.3 million, down 11% from $346.7 million in 2023, aligning with the reduction in supply chain trading volume. Gross profit was $30.9 million, a 20% decrease from $39.9 million in the prior year, reflecting lower revenues across our key business. Income from operation was $3.6 million compared to $18.8 million in 2023 impacted by the revenue decline and our continued investment in technology and customer acquisition. Our operating expenses in 2024 included a non-cash expense of $9.2 million related to share-based compensation and $5 million provision for bad debt. On the balance sheet, we maintained a strong cash position of $45 million in cash and cash equivalents as of December 31, 2024, equivalent to approximately $11.11 per share. Net cash used in operating activities was $75.7 million, driven by strategic advance deposits to key suppliers and working capital investment to secure inventory and meet growing customer demand. These investments are critical to positioning us for future growth and higher margin opportunities as market conditions improve. The financial strength including $11.11 per share gives us the flexibility to invest strategically while weathering economic challenges. Turning to our shareholders equity, we executed a share repurchase program implemented in October 2024 resulting in 4,538,358 Class A common shares outstanding as of December 31, 2024. Additionally, in 2024 we granted 700,000 restricted Class A common shares to key executives and employees under our 2022 equity incentive share plan, reflecting our commitment to aligning key management members' contributions with long-term shareholder values. With a strong pipeline of demand, ongoing investments in digital transformation and the scalability of our integrated supply chain solutions, we are optimistic about our growth trajectory for 2025. We believe that our financial performance will be driven by strategic initiatives in our core businesses including supply chain financing solutions, SME financing and our exciting expansion into KFC franchise operations in the China market. These efforts are designed to capitalize on recovering market demand, enhanced technology platforms and our ability to deliver high margin services to our growing customer base. We believe 2025 will make a pivotal year for Nisun International as we leverage our financial strength and operational expertise to drive sustainable growth. Despite the headwind we faced in 2024, our strategic focus on technology driven solutions and integrated supply chain services has positioned us for a meaningful growth in 2025. Our comprehensive supply chain financial service platform launched in January 2020 and our supply chain trading business initiated in July 2021 are gaining traction from both existing and new customers. We are seeing steady demand from SMEs and commodity trading partners and our pipelines to show healthy growth in the second half of 2024. Our supply chain financing services expanded into the gold industry, driving an increase in demand in our supply chain financing services, which also indicated a market recovery. Our investment in technology, talent and brand recognitions are paying off. We are not just a financing provider, we are partner to businesses helping them navigate complex supply chains and unlock growth opportunities. The KFC franchise expansion is particularly exciting venture, allowing us to diversify our revenue streams while leveraging our expertise in operational efficiency and customer engagement. This initiative combined with our core financing solutions position us to capture significant market share in high growth sectors. Our management firmly believed that Nisun International stock is significantly undervalued at current levels. Our robust cash positions, scalable business model and diversified growth initiatives are not fully reflected in our market valuation. As we continue to build our reputation in integrated supply chain solutions, management is confident that our shareholders will be rewarded. In closing, we want to emphasize that Nisun International is at an inflection point. We are building a future where technology and industry coverage to create lasting value for our customers, partners and shareholders. Operation is broad, our foundation is strong and our team is energized by to make 2025 a meaningful year of progress. Thank you all for your continued support and joining us on this journey. With that I will turn the call over to the operator. Operator?
Operator: This concludes today's call. Thank you again for your participation. You may now disconnect and have a great day.
End of Q&A: